Operator: Good morning, ladies and gentlemen, and welcome to the Oxford Square Capital Corp. First Quarter 2025 Earnings Conference Call. At this time, all lines are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Friday, April 25, 2025. I would now like to turn the conference over to Mr. Jonathan Cohen. Please go ahead.
Jonathan Cohen: Good morning. Welcome to the Oxford Square Capital Corp. first quarter 2025 earnings conference call. I'm joined today by Bruce Rubin, our Chief Financial Officer, and Kevin Yonon, Managing Director and Portfolio Manager. Bruce, could you open the call with a disclosure regarding forward-looking statements?
Bruce Rubin: Sure, Jonathan. Today's conference call is being recorded. An audio replay of the conference call will be available for 30 days. Replay information is included in our press release as issued this morning. Please note that this call is the property of Oxford Square Capital Corp. Any unauthorized rebroadcast of this call in any form is strictly prohibited. At this point, please direct your attention to the customary disclosure in this morning's press release regarding forward-looking information. Today's conference call includes forward-looking statements and projections that reflect the company's current views with respect to, among other things, future events and financial performance. We ask that you refer to our most recent filings with the SEC for important factors that could cause actual results to differ materially from those indicated in these projections. We do not undertake to update our forward-looking statements unless required to do so by law. To obtain copies of our latest SEC filings, please visit our website at www.oxfordsquarecapital.com. With that, I'll turn the presentation back to Jonathan.
Jonathan Cohen: Thanks, Bruce. For the quarter ended March 31, Oxford Square's net investment income was approximately $6.1 million or $0.09 per share compared with approximately $6 million or $0.09 per share for the prior quarter. Our net asset value per share stood at $2.09 compared to a net asset value per share of $2.30 for the prior quarter. During the quarter, we distributed $0.105 per share to our common stock shareholders. For the first quarter, we recorded total investment income of approximately $10.2 million, which was approximately the same as in the prior quarter. During the first quarter, we recorded combined net unrealized and realized losses on investments of approximately $14.2 million or $0.20 per share compared to combined net unrealized and realized losses on investments of approximately $2.7 million or $0.04 per share for the prior quarter. During the first quarter, our investment activity consisted of purchases of approximately $16 million, sales of approximately $10.7 million, and repayments of approximately $8.7 million. During the quarter ended March, we issued a total of approximately 1.3 million shares of our common stock pursuant to an aftermarket offering, resulting in net proceeds of approximately $3.5 million. On April 22, 2025, our Board of Directors declared monthly distributions of $0.035 per share for each of the months ending July, August and September of 2025. Additional details regarding record and payment date information can be found in our press release that was issued this morning. With that, I'll turn the call over to our Portfolio Manager, Kevin Yonon. Kevin?
Kevin Yonon: Thank you, Jonathan. During the quarter ended March 31, US loan market performance weakened versus the prior quarter. US loan prices, as defined by the Morningstar LSTA US Leveraged Loan Index, decreased from 97.33% of par as of December 31 to 96.31% of par as of March 31. According to LCD, during the quarter, there were some pricing dispersion, with BB rated loan prices decreasing 82 basis points, B rated loan prices decreasing 134 basis points, and CCC rated loan prices decreasing 211 basis points on average. While the 12-month trailing default rate for the loan index decreased to 0.82% by principal amount at the end of the quarter from 0.91% at the December, we note that the default rate, including various forms of liability management exercises, which are not captured in this cited default rate, remain at an elevated level of 4.31%. Additionally, the distress ratio, defined as a percentage of loans with prices below 80% of par, ended the quarter at 3.21% compared to 3.02% at the end of 2024. During the quarter ended March 31, 2025, US leveraged loan primary market issuance, excluding amendments and repricing transactions, was $141.1 billion, representing a 2% decrease versus the quarter ended March 31, 2024. This was driven by lower opportunistic activity, including refinancings and the funding of dividends, partly offset by higher non-refinancing issuance, including M&A and LBO activity versus the prior year comparable quarter. At the same time, US loan fund inflows, as measured by Lipper, were approximately $1.94 billion for the quarter ended March 31. We continue to focus on portfolio management strategies designed to maximize our long-term total return, and as a permanent capital vehicle, we historically have been able to take a longer-term view towards our investment strategy. With that, I will turn the call back over to Jonathan.
Jonathan Cohen: Thanks very much, Kevin. We note that additional information about Oxford Square's first quarter performance has been posted to our website at oxfordsquarecapital.com. And with that operator, we can open the calls for any questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] There are no further questions -- or there are no questions at this time. I would now like to turn the call back over to Mr. Jonathan Cohen for his closing remarks.
 :
 :
Jonathan Cohen: Thank you, operator. Thanks very much to everybody who listened and participated in this call. We look forward to speaking with you again soon. Thanks very much.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.